Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Roblox Q3 2021 Earnings Q&A. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. I will now hand the conference over to your speaker today, Anna Yen, Head of Investor Relations. Thank you. Please go ahead, ma’am.
Anna Yen: Good morning, everyone, and thank you for joining our Q&A session to discuss Roblox’s third quarter 2021 results. With me today is Roblox CEO, David Baszucki; and CFO, Mike Guthrie. Before we start, I want to remind everyone that yesterday aftermarket close, we published a shareholder letter and earnings results on our Investor Relations website at ir.roblox.com. Since the letter provides a lot of details, we will make some brief opening remarks and reserve the rest of the time for your questions. For our webcast participants, please note the question icon at the bottom of your screen where you can type in your questions. We'll do our best to take as many questions as possible. On today's call, we may be making forward-looking statements, including but not limited to, statements regarding our future financial performance, business strategy, plans, and new platform features; development of new technologies and developer tools; investment in the developer community and our talent; payments to developers; our ability to bring new music, recording artists and brands to the platform; the success of events on platform; investments and international growth; the development of the metaverse; Investor Day; and October financial performance and operating metrics.  Any statements that refer to expectations, projections, or other characterizations of future events, including financial projections, future market conditions, where the impact of COVID-19 on our business and the economy as a whole is a forward-looking statement based on assumptions today. Actual results may differ materially from those expressed in these forward-looking statements and we make no obligation to update our disclosures. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued yesterday, as well as risks described in our filings with the SEC, including our quarterly report on Form 10-Q, filed by the -- filed for the fiscal quarter ended June 30, 2021, and other filings and reports we may make with the SEC from time-to-time.  We will also discuss certain non-GAAP financial measures. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in our press release issued yesterday, as well as in our supplemental materials, copies of which can be found on our Investor Relations website. Finally, this call is being webcast and will be archived on our website shortly afterwards. With that, I will turn the call over to David.
David Baszucki: Thank you, Anna, and good morning to both our Roblox shareholders, as low as the whole Roblox community around the world. We wish you all well. We hope you are all coming out of COVID and getting back to normal as much as possible. And we look forward to answering your questions today where we will talk about our Q3 results, as well as the month of October, which we've also shared. I do highlight that in a week from now on November 16, we have a live streaming Investor Day at, I believe, 8 AM Pacific Time, where we'll be spending several hours diving into our product stack across the Company. With that, we welcome your questions and look forward to speaking with you today. Thank you.
Anna Yen: Operator, we’re ready to take questions.
Operator:  [Operator Instructions]. Your first question will come from the line of Alexia Quadrani with JPMorgan. Please go ahead with your question.
David Karnovsky: Thank you. This is David Karnovsky on for Lexia. Following the outage, can you say what user trends look like on the platform? Did you see an immediate recovery in engagement and spending? And then, maybe related to this, could you just remind us of a typical monthly cadence in Q4? How does November compare to October, and then kind of how much of a ramp do you historically see with the holiday period?
David Baszucki: Yes, this is Dave. I'll lead with the outage, which was an event that we're going to publish an analysis of publicly to share what happened, as well as all the steps we're taking to make sure such a thing doesn't happen again.  We were quite gratified to see the support of the Roblox community as we worked through it. And we're also quite pleased to see when we came back live, essentially in a loss of users and continuation of our user trends. I'll pass over to Mike for any future comments.
Mike Guthrie: Yes. Hey, David. First week of November looks really good. It was basically a recovery back to where we had been. So we didn't see -- we were fortunate that we didn't see any lasting impact on users. So we were obviously happy to see that. As it relates to seasonality, Q4 is generally our biggest quarter, and it's back-end loaded because of the holidays, so no great surprise. October and November, generally pretty similar.  So that's just going back many, many years and looking at the two months. We see a bunch of pickup as you would expect around Thanksgiving, when people are home a little bit more. So, yes, generally, I would say, we had a good solid 27 days of October and good trends. And when we came back up, it looked like we -- users came back with us in lockstep.
David Karnovsky: Okay. And then with the platform now majority 13 plus per DAUs, I'm wondering if you would expect the percentage of experiences that qualifies aged up to move to that level over time. Meaning, are you seeing developers sort of react to this mix and build more mature content? And then, how much do you think that can accelerate with tools like voice chat or the rating system you previewed at RDC?
David Baszucki: Hey, this is Dave. We have -- we've been building this platform for over 16 years. And one of the keys is that it's powered by user-created content, millions of creators who make everything on Roblox. As we've grown up, too, as we've improved the quality of our personalized search and discovery, more and more, the people on our platform are finding amazing content that is very aligned with what they're looking for. And our creator community is very responsive to the wants and needs of the player community.  Interesting, a year ago, approximately 10% of our top thousand experiences have more over 13 players than under. Recently, that number has gone to 28%. So 28% of the top thousand experiences are now more 13-plus. So the developer community is responding, creating amazing content for all ages, for people around the world, for interest. There are niche pieces of content. There are very broad spectrum pieces of content. So what we wanted to see happening is happening.
David Karnovsky: Thank you.
Operator: Our next question will come from the line of Mike Ng with Goldman Sachs. Please go ahead with your question.
Mike Ng: Hey, good morning. Thanks for the question. I just have two. First, with APAC and Rest of World particularly strong from an engagement perspective, I was just wondering if you could talk a little bit about any initiatives that Roblox is executing against from an international expansion perspective. And whether there are any experiences that particularly resonated with the international users. And then I have a quick follow-up Thanks.
David Baszucki: Yes, I'm going to kick that over to Mike first because we had a great Q3 and APAC highlighted by Japan. So maybe Mike, if you want to speak to that, and then I'll follow-up with what we do to support international growth and acceleration.
Mike Guthrie: Yes, I don't think we could point to any specific piece of content or pieces of content that we're just dramatically different in Asia-Pacific. Generally, we have a decent amount of overlap around the world. We are seeing increasingly -- increasing amount of affinity for local content in certain markets. So as developers are growing in and around Asia-Pacific, as in the rest of the world, they will start building, or have started building content that is relevant globally and relevant in those local markets.  And so there's no specific spike this quarter. I think it's just a much longer-term trend that we've seen developing as the dev base has become more global. We'll talk a little bit about this at the Investor Day next week. But it's just a good solid compounding of the trends that we've been seeing of local content becoming of a more content developed around the world and some of the affinity for local content increasing.
David Baszucki: And then one thing that is -- that drives our international growth is the extent to which we can dynamically and automatically translate experiences as they are created. And the extent to which developers, if need be, supplement that with hand translation, and that technology is continuously improving both the quality of the translation, as well as the percentage of the experiences that by default have this on. So that is a contributing factor more in strategic international growth.
Mike Ng: Great. Thank you for the thoughts. And I was just wondering if you could talk a little bit about the traction with brand experiences. You mentioned Vans World in the letter, are these brands participating on the platform in the same way that others do in a UGC or self-serve capacity? Or are brand experiences higher touch right now? And does that change over time? Thank you very much.
David Baszucki: Yes. This is Dave. Long-term, the vision for brands is the exact same as games or play experiences, in that we imagine an ecosystem where there are thousands and thousands of these experiences. They are created in concert between brands and possibly creators and developer communities. But just as 16 years ago, gains in play experiences were new on Roblox. This is relatively new for some of them. So there is some touch now in our Investor Day next week, we'll be sharing the parts of the roadmap we're working on this year to make that as self-service as possible. And that includes the creation of the way they deal with IP and assets, how they may if they choose to monetize. The high-level vision we have is just as print and just as video have been and continue to be interesting ways for brands to interact with their audience, immersive - is really immersive way for brands to interact with their audience. And as you noted with Vans World, which had over 40 million visits, people who visited Vans World were able to wear Vans, go skate boarding, check out the shop, see what new items Vans had for sale. This is a really immersive way for brands to connect with their fans.
Mike Ng: Great. Thank you, Dave. Thanks, Mike.
Anna Yen: And one from the webcast, Thomas Reiner from Altimeter. Can you discuss the monetization trends internationally versus Canada and U.S. year-to-date? You've invested a lot in localization and in back-end is monetization internationally growing faster than U.S. and Canada.
Mike Guthrie: Thanks, Thomas. I have to go back and look at the rate of change of monetization. I'd say right now, we're in the part of growth internationally where it's very much driven by user growth and over time, going back many years in our core markets, we've seen users – they retain on the platform. They spend a cumulative amount of time. Some percentage of them convert and become payers. Once they become payers, and are retained as payers, they tend to increase their spending levels. I think that's happening faster now in international markets for whole variety of reasons, primarily because you've just got a smarter creator base with better content. And so people are becoming payers faster and starting to increase their monetization faster.  Right now, again, we generally are looking at bookings growth as driven primarily by user engagement growth. We get the question a lot about the ratios between monetization per user and I'll just caution that when you have high bookings growth and high user growth, just the rate of change in the numerator and denominator can make numbers look like they're going up or down. Generally, our trends of monetization over very long period of time is that those payer cohorts tend to increase on monetization over a very long period of time. So we go back to core markets like U.S. and Canada.  We still have growth in our payer cohort. It's going all the way back to 2016, and we expect that we're going to see the same behavior in international markets and particularly in Asia-Pacific. When I look at the high, high-growth markets in the quarter that we just completed, the really high-growth markets of Southeast Asia, East Asia, which is mostly Japan, and Korea; Western Europe, as we've been talking about a lot; France and Germany, Spain, and others; and then Latin America. And so in some of those markets you got a very wealthy user base and other markets you have slightly lower GDP per capita, so there will be a real mix.  And I guess I don't know that we'll be forecasting exactly that ratio for a while, but we'll be looking a lot of users’ engagement and the result in bookings. And that's really where we're going to be focused.
Operator: Your next audio question comes from the line of Brandon Ross with LightShed Partners. Please go ahead with your question.
Brandon Ross: Hi. Thanks for taking the questions. My first one, you highlighted the aging up and the number of experiences that are 13-plus. And I was curious if cultural events like Squid Games or -- Squid Game that is, or 21 Pilots, bringing even older users, and whether those stick around? And generally, how you thought about your aging up? Do you think it's going to be or has it been so far just adjacent to your core demo? Or are you bringing in older users? And then I have a follow-up.
David Baszucki: So, great question. First, I want to highlight. Right now, we don't have any only 13 and up experiences. We have 28% of the top thousand experiences having a majority of 13 Plus, but those are still experiences that are open to all ages. We talked a lot about aging up. We're right in the middle of it, and we're right in the middle of very solid growth in our 17 through 24-year-old cohort. The exciting thing about these – the older cohorts on our platform, is there's a lot of whitespace there.  We've historically started with younger players. It's been an amazing advantage to us because we've had to focus on being a civil and safe place. And now we see growth in two areas. One is the existing Roblox player base is growing up with us. So that is a retention opportunity to bring them with us. But as you correctly note, we also bring other people in. Squid Games, the concerts, both examples of events that we believe most likely reached some new audience.  In the case of Squid Games, looking for -- and that's singular Squid Game, people looking for a place to experience that brands side-by-side the awesome show. And so they came to Roblox, where they could see that. So, I do believe those things add to the retained people that come into our platform and stick with us and bring new older players to the platform.
Mike Guthrie: Yes. So let me just quick add. We knew -- we know that Gucci Garden had an older demo for sure in the month of September. It was quite a bit of an older demo. Each of these individual pieces of content, I think, contributes to an overall trend of broadening the aged demographic around the Company. So it's a receptive market when you do something like Twenty-One Pilots or Gucci Garden. But clearly their music is a good example, where an artist that has an older following, it's quite likely that they're going to have an older following inside Roblox and it's going to attract some of those users.  We have been tracking aged up demos for years and for a long time, 13 to 16 was our fastest-growing age demographic, and I think usually adjacent and that's exactly what it was. It was adjacent to our core, 9 to 12 market, and it was our fastest-growing age cohort for quite a while. Today, the adjacency has continued in right now, 17 to 24 is the fastest-growing. It's demographic on Roblox. So I think it's not any individual event or piece of content. I think it's a combination of everything that's going on and then certain of these things are finding big audiences and contributing to, again, this broadening in age demos.
David Baszucki: I just want to rip one other thing on Squid Game and implicit in what happened on our platform in various countries around the world where there's a lot of attraction and attention about this, it highlights the velocity at which both the combination of our cloud tools, our development environment, and the creators on the platform are able to respond and create interesting and immersive content. And we weren't talking months. We were talking days for functioning experiences that could go hand in hand with the TV series.
Brandon Ross: Yeah, I want to stick with Dave for a second and I know -- I think you said earlier you might touch on this in the Analyst Day. But is there a way to directly link the brands and [indiscernible] companies to help them maximize the impact from this high velocity of UGC creation that's going on around their business on the platform?
David Baszucki: I think more and more of this is right. This was more an organic situation, more and more, I believe we will see intentional situation. A couple of days ago, for example, one of the top experiences on Roblox Jailbreak announced an intentional partnership with NASCAR which is an awesome brand experience. There is already a great place on Roblox, where people are driving cool vehicles around, all of a sudden we have NASCAR vehicles. So I do think over time, we will see both organic experiences as well as intentional experiences. Even though this one is organic, I don't want to speak for Netflix, but I have seen quotes about their appreciation almost in a way that this media sensation, in a way has manifested itself in other way, on an Roblox.
Mike Guthrie: Another intention category another that you mentioned in the letter, again with Netflix was with Bakugan. So that's another example of something that was quite intentional to stream that [Indiscernible] went up a seller on the platform.
Operator: Your next question comes from the line of Brian Nowak with Morgan Stanley, please go ahead with your question.
Matthew Cost: Hi, guys. It's Matt (ph) on for Brian. Thanks for taking the questions. I guess -- there have been some headlines in recent weeks about some smaller companies that are basically building ad businesses that helped place ads inside of Roblox experiences. And I was wondering what your philosophical view is on those sort of avenues for brands to come to the platform and then how you see them fitting into the broader branding and advertising opportunity in Roblox. And then just secondly, on closing the loop to maybe offline transactions.  It seems like there's a big opportunity for people to interact with brands on Roblox and then make purchases of physical goods. So if a kid is playing with Hot Wheels in a Roblox game, they then go buy actual real life Hot Wheels cars. Can you talk about your thought process and your efforts to maybe start to link that brand experience to offline dollars? Thanks.
David Baszucki: Matt, this is Dave, I'll speak on the advertising first and I'm going to go more long view on this rather than the specific. The long view is we have focused primarily to date on the engagement and the satisfaction of our users more than monetization on the platform and we've built systems, including our virtual economy and engagement-based payout that have already created a very rich and vibrant developer community with large businesses. Some of our developers making tens of millions of dollars a year.  Advertising is an enormous opportunity, and at the same time our vision for advertising is immersive, it's native, it's around high-quality experiences and over time, we'll be working on rolling out. But the standards around this, how this is supported globally and we do think there's an interesting and big future and at the same time, a very high-quality branded advertising type future. So super, super optimistic about that. On your second question, I believe about brands, maybe Mike [Indiscernible] you want to take that one?
Mike Guthrie: Yeah. We see the same exact opportunity not that you're describing and are in the very early stages of talking to brands about that. For now, they're promoting their brands directly with the user base. I think it's logical to all of us that eventually you would have a user who is not only interacting with the brand in a virtual world or even buying virtual goods using maybe Vans again, as an example. Maybe has Vans clothing on their avatars and ultimately saying they would like to own those shoes or their shorts of those T-shirts and so we see it as well.  And we ultimately do think in fact it's a big experience, a big opportunity. It obviously -- for the brand, it would take all of the returns of being on Roblox up to a different level. And so, yes, it's -- I don't think there's any doubt in the long run that's where we'll end up.
David Baszucki: Maybe a first sign of this was our partnership with Chipotle where this wasn't a full-on buying your Vans shoes on Roblox, but there was a physical digital connection there. And just want to reiterate our outage was in no way affiliated with the popularity of that event.
Matthew Cost: Great. Thank you.
Operator: Your next question comes from the line of Drew Crum with Stifel. Please go with your question.
Drew Crum: Okay. Thanks. Good morning, everyone. So given the recent developments in China, can you share any updated thoughts around the Company's strategy in this market? And then separately, understanding you're saving more explanation around the cost of the outage for later date. If you're willing, can you discuss how these influences or changes where you direct resources and investment spending going forward?
David Baszucki: Yeah, first, I'll go to China. We take a super long view in the Company and we have a vision of a platform that connects around the world where content created anywhere is able to be experienced by people anywhere and we keep our head down around the world in all countries including China there. And we're continuing to build out this system that make that possible. And once again, we have a wonderful partnership in China with Tencent and remain diligent there. On the outage I -- what I will share is that what we saw in the outage is really the value that we have at respecting our community.  And a lot of highlighting around how big Roblox is a part of people's lives, and how they use it and depend on it to be together. I think it's fair to say as part of our analysis and then as we share what we'll be doing to make sure this never happens again. There may be some adjustments, I think minor. We have an awesome team. I have complete confidence in the team and we have an awesome infrastructure. There may be some adjustments that we take and just to follow up on that analysis.
Operator: Your next question will come from the line of Matthew Thornton with Truist Securities. Please go ahead with your question.
Matthew Thornton: Hey, good morning, David, Mike and Anna. I guess just first around subscription of -- the subscription is creative to engagement and retention. And given some of the App Stores, the fact that they've lowered the take rate on subscription does the unit economics get better for you guys? Is there opportunity to maybe drive-up subscription, or accelerate subscription in the mix thus being able to return more dollars to developers? So a little bit of a win-win there. I'll start there and then I've got one follow-up.
Mike Guthrie: Just quickly answer. Subscription is it creative to retention and for monetization? There's no doubt about that.
David Baszucki: Then I'll riff on the second part. We -- great partners with both Apple and Google and all of our other partners, Microsoft, is that provide routes for people to be on our platform and support monetization. We, as much as possible, would like to move money to our creator community. And I think as any changes occur on any of these platforms and as those rates change, we would take that opportunity if made available to us, to move more of that virtual economy through our Company to the creator communities. So long-term, yes, it's those out store rates happen to change, won't move the majority of it to our creator community and provide them even greater economic benefit.
Matthew Thornton: Great. And then maybe just a quick follow-up. I guess maybe a two-part housekeeping question. Can you remind us, Mike, you talked about November recovering your post outage and being off to a solid start. He kind of remind us normal seasonality, November and December. And then you guys did 3 small acquisitions in the quarter. I guess anything you can say, what contribution those without have been to bookings. Thanks guys.
Mike Guthrie: Yes. Maybe the second question first. Very exciting and strategic transactions. We're pleased to have some great people on the team that came in with those transactions. Some entrepreneurs who had started really interesting businesses and it's great to have them at Roblox. They contributed $0 to the bookings of the Company. It was really IP, and capabilities, and people, and we're delighted with all the transactions. In terms of November, as they said earlier, November in October, pretty similar. One fewer day in November, obviously.  But I'd have to look at the weekends if I was trying to forecast the number. We always do a little bit more on the weekends. And then obviously around the Thanksgiving holiday, that's a big bump up for us in the month of November. You can look at the last year's data. October-November was pretty similar and December was not quite double the October, November numbers, but pretty close, probably 80% higher or something like that. So you'd have a great big backend in Q4 with December, and that's just been true forever.
Operator: Your next question will come from the line of Clark Lampkin with Piecyk BTIG. please go with your question.
Clark Lampkin: Hi, good morning. I the tech related question first. You guys talk about infrastructure expansion to reduce latency at RDC. I'm curious if you could help us think about, one, how much might accelerate over the next few years and whether something like ITS could scale as you keep growing due to AI? And second, what sort of relationship or elasticity exists between user growth and latency reductions for gross add or retention standpoint. And separately Dave, I think nearly everything on your list of five-year goals was checked off with the exception of the president mentioning their avatar on camera and I guess a portion on the toys sold item.  You filled out in time on both of those, but I'm curious whether you started drawing up the next version of the list and whether you might share with us what item or items are sitting at the top now.
David Baszucki: Hey, yes. Thank you. Great question. And that is a list that I've been presenting every year at our Roblox Developer conference that started 4 years ago with a set of 10 predictions that amazingly many of them have come through, including over a million concurrency and a Roblox place more creators outside the world than in. There are a couple ones, as you know, we might not hit, including the president mentioning their Roblox avatar live, but we still have about 11 months so we'll see what we can do there. Getting to infrastructure, a couple of things. We've architected Roblox to reduce latency even in an avatar interaction between a player in Germany and a player in Japan. And underlying that tech is a hybrid distributed physics system where some of what you're seeing is happening local on your machine, including your avatar motion. And then some of it's happening in the cloud. And then we're time slicing it along with the player that's remote. At its core, we've really worked to reduce that latency.  Now the way we've accelerated that is we have many, many data centers all around the world. We have one in Poland, we have -- we're building one in India. We have one in Singapore. And whenever possible, we connect people together at their nearest data centers. These are high-performance, high-reliability data centers that we support and build at very, very low cost. And as you correctly note, given that we operate this infrastructure, there's a lot of opportunities we have that we have not tapped yet to improve latency reduction. An example, we have been amazing collection of CDN vendors out there that distribute content. There could be a future where some of that content comes straight from our data centers.  We have a lot of bandwidth around the world so that people who are connecting, perhaps in Japan and need to hop over to Ashburn, do it on our network rather than on the IP network to give them more high speed and a reliable connections. So underneath Roblox, there is a fairly substantial infrastructure cloud. We're close to 10 terabits of external bandwidth, which is a sign of how solid our infrastructure is. And, we have other things we're looking at to reduce latency as well as part of this cloud influence that we've built. But appreciate the technical question.
Operator: There are no further audio questions at this time.
Anna Yen: All right. We're going to take some from our virtual listener. First the question is, as Roblox grows and becomes mainstream for older audiences, how would you prevent inappropriate content from the younger players?
David Baszucki: We're already doing this and I see the metrics every week. They are already really good and they keep getting better and better. It's really the top priority on the platform. I feel we're in really good position and that we're starting from a difficult place, which is create a civil society for people of all ages. And then as we bring more and more older players onto the platform, we're carefully adding some amounts of freedom in certain situations while always respecting our core foundation of safety and civility. So it's a top priority. We're already doing it. We already have a lot of older people on the platform. Over 1/2 of our people are over 13 plus and so this is something we're doing and we will continue to.
Clark Lampkin: You knew the offering of play to earn or play to own, which is popping up in blockchain base gains, like [indiscernible] and infinity. Is it something you would consider app adoption over time?
David Baszucki: We're focused on social connection and engagement at Roblox. We're focused on supporting people doing things together, whether it's playing or learning or working, or experiencing entertainment. And our focus is on supporting that naturally and virally if people want to come to our platform just to be with their friend. Speaking of game mechanics, we right now do not allow any experiences on Roblox to ultimately payback Robux to the players. So we don't have any plans to do that.
Anna Yen: The next question from Thomas Sawyer (ph) from O [indiscernible] Capital. Hi, David, could you share your vision on retaining developers and creators? How are you looking at the developer and creator compensation in the future? And how is the general developer and creator feedback on the current state of things regarding how much they make out of experience and items?
David Baszucki: Yes. When we think about this creator of community, we've evolved over the last 10+ years from a thriving hobby community to the introduction of our virtual economy, to individual s starting to make a living on the platform to larger and larger studios making tens of millions of dollars a year to now in the news, a fair amount of VC funding of Roblox studios to grow and accelerate so that progression is an indication of the health of the community. We focus primarily on growing user engagement and the quality of that experience. To grow the platform.  As our platform has grown year-by-year, whether it's developer number 1, developer number 10 developer, and 100 or developer 1000. We think constant increase is in their participation in the economy and we're hopeful and we expect that to continue going forward. So the primary means of retention for developers on our platform is a thriving growing ecosystem, larger opportunities for developers, existing developers being more and more economically successful, and more opportunities for new developers. So I think it's fair to say our retention is based on the long view, quality, size of opportunity, opportunity for debt, rather than specific retention mechanisms. And that long view also goes to the quality of our toolset, because the search and discovery built in the platform is built into the 200 million plus people already on the platform and ability to gain new audience.
Mike Guthrie: Yes. I just without -- we're -- we've been so vocal about moving more and more of the economics, the developers, as we get efficiencies around the Company and around the platform in any area of cost. We try to move that out to the developer and the synergy between the growth in the platform and the payout to developer has been fantastic. The quality of what the developer is able to produce has yielded such great economics. Few years ago, in the third quarter of 2019, the entire developer community earned $26 million. In 3Q of '20, it was $85 million and in 3Q of this year it's $130 million. So that's 5X in 2 years.  And, so we're thrilled to that kind of growth, and we're just going to continue to put our heads down and work on ways with the community to grow that number. And, if you've followed us from the time we did our listing -- actually, if you followed us when we were a private Company, we've talked incessantly about pushing more and more of the economics factors of the community and we will just continue to make progress against that every quarter.
Anna Yen: Francisco Olivera from Arevilo Capital is asking is there any particular acquisition strategy you're targeting?
David Baszucki: There is, and it's a strategy that really goes through the basics and goes again to our long view vision, which is finding amazing groups of people, and amazing technologies that we can generally integrate into our Roblox platform. We're in an enviable position, I believe where there's a lot of growth available to our Company with our -- the current growth vectors we've shared with everyone, which is around the world, all ages. And new interesting ways that people will interact on Roblox learning, working, consuming entertainment.  So that puts us in a position where everything we do focuses on the core platform. Given the range of technologies on the platform, you can imagine the various areas we're looking for amazing people and great technology complement.
Anna Yen: I think we have maybe time for two more. One is from [Indiscernible] from [Indiscernible] Can you comment on the road map, for education experiences. How is [Indiscernible]
David Baszucki: Yeah. We're going to share our educational road map at our Investor Day in a week and Rebecca will be guiding into that. We're excited in that we're going to be announcing some partnerships through our Roblox community fund, where Roblox is being used not just to learn computer science, but also to learn stem, to learn creative, constructive ways of learning, and you'll see some partnerships with some very notable educational institutes that won't be talking about on in Bellis. It's an amazing group of people and Bellus technology was around helping us find especially creative and problem-solving type people to join our Company. And we're using it right now live-in production as we start to bring amazing people to Roblox.
Anna Yen: And the last question comes from Dan Sang (ph), from Angle Capital. Can you provide any learnings from your spacial voice tests. And what our [Indiscernible] investors should look for as we move towards voice communication over the time.
David Baszucki: Yes, the learning started well over a year ago when we -- I guess almost a year ago when we did a holiday party on Roblox and in the midst of COVID I was able to hang out with a bunch of the people and I'm at the bar in a holiday party and -- and I -- it was a great connection. I had missed it so much. We can see it now in the adoption of spacial voice amongst the experiences on Roblox, as we carefully roll that out and open up the availability to the various customer base. We'll talk more about this as well at our Investor Day.  But we think this is a huge part of Roblox's future, which is allowing people to come together in a natural way, especially in groups, especially on our Roblox Company meeting, have impromptu conversations, like they would in the real world, and ultimately work, play and learn together. More to come at Investor Day on this.
Anna Yen: That's all the time we have for today.
David Baszucki: Yes, just once again, thank you all, to our shareholders, and to our Roblox community. We appreciate your support and we look forward to seeing you in a week for our Investor Day. Thank you.
Anna Yen: Operator, thanks.
Operator: Ladies and gentlemen, thank you for participating. You may now disconnect. Goodbye.